Operator: Welcome to the Powell Industries Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ryan Coleman, Investor Relations. Please, go ahead.
Ryan Coleman: Thank you and good morning, everyone. Thank you for joining us for Powell Industries conference call today to review fiscal year 2021 fourth quarter and full year results. With me on the call are Brett Cope, Powell's Chairman and CEO; and Mike Metcalf, Powell's CFO. There will be a replay of today's call, and it will be available via webcast by going to the company's website, powellind.com, or a telephonic replay will be available until December 15. The information on how to access the replay was provided in yesterday's earnings release. Please note that the information reported on this call speaks only as of today, December 8, 2021, and therefore, you are advised that any time-sensitive information may no longer be accurate at the time of replay listening or transcript reading. This conference call includes certain statements, including statements related to the company's expectations of its future operating results that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties and that actual future results may differ materially from those projected in these forward-looking statements. These risks and uncertainties include, but are not limited to, competition and competitive pressures, sensitivity to general economic and industry conditions; international, political and economic risks; availability and price of raw materials; and execution of business strategies. For more information, please refer to the company's filings with the Securities and Exchange Commission. With that, I'll now turn the call over to Brett.
Brett Cope: Thanks, Ryan, and good morning, everyone. Thank you for joining us today to review Powell's fiscal 2021 fourth quarter and full year results. I will make a few comments and then turn the call over to Mike for more financial commentary before we take your questions. Our fourth quarter financial results reflected a strong finish to a fiscal year marked by industry challenges and inflationary cost pressures. Importantly, we saw sequential improvement in key growth drivers of the business and we built upon our third fiscal quarter, which was an encouraging step in the right direction. All things considered, I am very pleased with the way we closed out fiscal 2021 and with the momentum we are carrying into the new fiscal year. In addition, we are seeing broad customer activity within our core industrial end markets slowly begin to recover from a period of significantly reduced activity following the start of the COVID-19 pandemic. We remain disciplined given the uncertainties that remain, but we are cautiously optimistic about our prospects going forward. In the fourth quarter, our revenue totaled $130 million, which reflects sequential growth of 12% and year-over-year growth of 13%. New orders of $121 million was higher by 17% sequentially and 61% higher than the $75 million of gross new orders in the prior year. Within our industrial markets, revenue from our petrochemical sector was up by 24% in the quarter, while oil and gas revenue was up by 29%. Our utility and traction markets continue to perform well, as they grew by 15% and 53%, respectively, compared to the fourth quarter of fiscal 2020. Each of these sectors have experienced strong growth over the last few years, particularly in Canada. Additionally, our aftermarket services team delivered a solid performance, helping to contribute to the strong fiscal fourth quarter. Our higher fourth quarter volumes allow us to achieve improved utilization rates, which, when coupled with continued strong execution, favorable project closeouts and factory efficiencies, combined to help us achieve a gross margin of 17.4% in the quarter. That represents a sequential improvement of 260 basis points, but down from 18.9% in the prior year. The year-over-year decline is mainly the result of higher costs for raw materials, specifically steel and copper. We are also cognizant of the prospect for higher project costs in the coming quarters as we execute on projects booked during fiscal 2021. While encouraged by the recent price stabilization in many key commodities, we remain focused on being engaged with our suppliers and where possible, passing through inflationary costs. Throughout fiscal 2021, we have and we will continue to remain diligent around our overhead cost structure and further protecting our margins to the extent possible. On a similar note, we are monitoring labor availability, which is causing upward pressure on wage costs across wide sectors of the economy. While labor inflation is not currently a significant problem for us, it may cause some margin pressure in the future, as our project volumes increase and we increase our headcount accordingly. Moving to the bottom line. We reported a net profit of $3.3 million in the quarter compared to $3 million in the prior year and a strong improvement from a net loss of $2 million in the prior quarter. We ended the quarter with $134 million of cash and short-term investments and essentially no debt, slightly higher than the prior quarter, retaining our strong liquidity position. We feel we have sufficient liquidity to fund our working capital needs as our markets recover as well as evaluate inorganic opportunities for Powell. We ended the quarter with backlog totaling $415 million, which is roughly 3% lower than the third quarter and compares to a backlog of $477 million at the end of the comparable period last year. We continue to see projects that had been previously placed on hold begin to show signs of life, along with request to update pricing for several projects, mostly within our core oil, gas and petrochemical markets. We view this as an additional positive step toward the longer-term recovery of our industrial end markets. Overall, while our financial results remain lower than pre-pandemic levels, we have been encouraged by the momentum we are seeing on a month-by-month basis. Our core end markets continue to see incrementally higher levels of activity, while our traction and utility markets have remained strong. Across the company, I am very pleased with the focus, attention and overall solid execution across our operations as we remain committed to the success of our customers. Looking forward, we continue to believe the economics of natural gas will offer favorable opportunities in the LNG, gas pipeline and gas to chemical process industries for the foreseeable future. In addition, as the world transitions to cleaner energy sources, we are participating in the development and planning of projects in the renewable markets of biofuels and biodiesel. These opportunities in renewable energy are smaller and more sporadic in nature but offer new markets where Powell is uniquely positioned as a provider of custom engineered electrical products and solutions. We also expect to participate in initiatives around carbon capture and sequestration as well as the production of hydrogen as a fuel source, although these are more nascent markets that we view as longer-term opportunities. We are confident that our long history of innovation provides us with a unique advantage as we seek to pivot to these emerging markets that require new electrical equipment and solutions. As such, we remain committed to our R&D activities as the market commands changing needs for the distribution and control of electrical energy. We plan to evolve with that landscape by focusing our strategic initiatives around 3 core priorities. Our first priority is growing our electrical automation platform. We continue to build out our suite of digital asset management sensors through which we have made steady progress throughout fiscal 2021. Building upon our reputable history of electrical automation solutions, we have unveiled a suite of sensors to help our customers move to an event-based maintenance strategy. We believe that digital technologies like ours will continue to play a larger role in the future of electrical distribution, helping all of our customers achieve higher operating performance from their capital investments, extending life of their equipment through predictive analytics and preventive maintenance, while also leveraging this technology to help achieve carbon reduction goals. The second of our strategic priorities is our focus on expanding our existing services franchise. Rather than building out a global services business that seeks to be all things to all people, we plan to focus our efforts around geographies where Powell has either an existing installed base with a leading market position or around select market sector opportunities where our services can provide differentiated expertise. Ultimately, we aim to move into the OpEx side of our customer spend through digital offerings that carry subscription-like models. Inorganic opportunities may also play a role here as we seek to bolster our market density, where we feel there is a compelling opportunity or where we currently operate, but have historically underserved. And finally, our third strategic priority is focused on the diversification of our product portfolio through both targeting tangential applications that complement our existing product offerings, as well as expanding the scope of our product catalog into new electrical technologies. These efforts should help to de-risk the business by penetrating cyclical markets that are countered to the traditional energy cycles. Similarly, we seek to grow in this area both organically through R&D, as well as identifying inorganic opportunities that would be accretive to Powell. As we enter fiscal 2022, our priorities are unchanged. First and foremost is the health and safety of our employees, customers and suppliers. Second, we remain focused on maintaining our solid execution performance, strong project closeouts and factory efficiencies as we look to protect our margins in an inflationary cost environment. Next is the continuous evaluation of our current cost structure, supply chain and resource planning to optimize operations across the geographies and markets that we serve. And finally, as we look over a longer-term horizon, we are committed to thoughtfully executing on our three strategic priorities. These initiatives are centered around growing our presence in markets such as electrical automation, where we can leverage a rich history of innovation; expanding our services franchise by focusing on strategic and/or geographic opportunities; and diversification of our product portfolio through countercyclical products and new markets. We look forward to providing updates around each of these strategic initiatives as the year progresses. With that, I'll turn the call over to Mike to provide more detail around our financial results before we take your questions.
Mike Metcalf: Thank you, Brett, and good morning, everyone. Revenues for the fourth fiscal quarter of 2021 increased by 13% to $130 million compared to last year's fourth quarter of $115 million, and were higher sequentially by $14 million as we experienced a strong year-over-year increase across our utility and traction end markets. Net orders for the fourth fiscal quarter were $121 million, $64 million higher than the same period one year ago on a continued recovery across our core industrial end markets. These net reported results reflect the fourth quarter book-to-bill ratio of 0.9 times. Reported backlog at the end of our fourth quarter was $415 million, $62 million lower versus the same period in the prior year. This year-over-year backlog reduction is driven primarily by the ongoing execution of the large industrial project currently in our backlog as well as a lower orders cadence that we experienced throughout fiscal 2021. Compared to the fourth quarter of fiscal 2020, domestic revenues of $94 million increased by $15 million or 18% versus the same period one year ago, while international revenues increased by 1% as we experienced broad strengthening across all of our core end markets versus the prior year. More specifically, versus the prior year, revenues from our industrial sector increased by 27%, while the utility sector was higher by 15% and traction revenue increased by 53%. The year-over-year volume increase across the industrial sector was led by a 24% increase in petrochemical volume, while core oil and gas was higher by 29% versus the same period a year ago. We reported $23 million of gross profit in the fiscal fourth quarter of 2021, which was higher by $800,000 or 3% versus the prior year on stronger volume. Gross profit as a percentage of revenues decreased by 160 basis points to 17.4% of revenues in the fourth fiscal quarter compared to one year ago. This reduction in the margin rate was attributable in large part by commodity pricing pressures as well as unfavorable year-over-year project mix. These variables were partially offset by productivity gains recognized across many of our manufacturing and service entities. Selling, general and administrative expenses increased by $669,000 or 4% versus the prior year, attributable to an uptick in commercial activity and the associated travel and living expenses. SG&A expenses were $17 million in the fiscal fourth quarter or 13.1% of revenue compared to 14.2% of revenues a year ago on the higher volume in fiscal 2021 as well as our continued spending discipline. On a net reported basis, fiscal fourth quarter net income was $3.3 million or $0.28 per diluted share. We generated $9 million of free cash flow in the fiscal fourth quarter, driven by strong working capital performance in the period. CapEx spending during the quarter was $451,000. Now recapping our total year fiscal 2021, revenues of $471 million decreased $48 million compared to the prior year. Orders were $404 million, 30% lower versus fiscal 2020 with the variance driven by the large industrial order that was booked in the second quarter of fiscal 2020. Gross profit as a percentage of revenues, decreased by 230 basis points to 16% of revenues as a result of higher commodity costs, lower volume leverage and a shifting product mix across the business in fiscal 2021. Selling, general and administrative expenses were lower by $400,000 versus the prior year. Overall, net SG&A expenses as a percentage of revenues were 14.3% in fiscal 2021 versus 13.1% in the prior year on the lower revenues. We reported net income of $631,000 or $0.05 per diluted share compared to $16.7 million or $1.42 per diluted share in fiscal 2020. Total fiscal year 2021 free cash flow was a usage of $33 million versus a cash generation of $67 million in the prior year. At the end of fiscal 2021, we had cash and short-term investments of $134 million, $45 million lower than our fiscal 2020 year-end position. Long-term debt, including current maturities, was $400,000. As we enter fiscal 2022, we remain optimistic that our core industrial end markets will continue their gradual recovery delivering improvements in terms of order volumes and market pricing versus fiscal 2021. Furthermore, as we continue to manage through supply chain constraints and cost escalation headwinds in the current environment, we anticipate that these pressures will subside later in fiscal 2022. Based upon these variables as well as the usual seasonality that we experienced during the first fiscal quarter, we do anticipate that the second half of fiscal 2022 will be stronger than the first half. And finally, our liquidity position remains solid and the strength of our balance sheet is exceptional. Considering this as well as the current market environment, we continue to explore both organic and inorganic opportunities that will enable the business to grow and diversify our product and service offerings in line with the core strategic initiatives that Brett outlined. At this point, we'll be happy to answer your questions.
Operator: We will now begin the question-and-answer session [Operator Instructions] The first question comes from John Franzreb with Sidoti & Company. You may go ahead.
John Franzreb: Good morning, guys. Thanks for taking the questions.
A – Brett Cope: Good morning, John.
John Franzreb: Actually, I'd like to start with the opportunity pipeline that you're seeing out there. It seems like you're more encouraged about an improving booking profile as fiscal 2022 progresses. Why is that the case?
A – Brett Cope: Well, certainly, compared to this time last year, there is more RFQ activity. There's more work being done on jobs to plan. The one part that's still cautious, John, is the actual timing of funding. So, there's still this hesitation at the user financial side to understand their ultimate timing. So, still lots of cost out. We've talked about that last couple of quarters. A lot of redos on the projects, rescoping, taking a look at it as they try to get the return. So there is more activity there. So that has buoyed our confidence that things seem to be headed in the right direction. Our big question still is timing.
John Franzreb: Okay. And are there any large projects of note out there that you think that might be materialized within the next six to 12 months?
Brett Cope: There are some big projects out there, and I'll probably say more in the next 12 months. And if they come in earlier, that would be great. There is that possibility if the world keeps going in a positive direction economically and, of course, all of the challenges in logistics-wise and shortages in labor and everything else can pile in today, but there are some big projects that look like they're going to get moving here in the foreseeable future.
John Franzreb: Great. And just on the gross margin in the fourth quarter, especially considering the commodity headwinds, I was kind of surprised how strong it was. Was there any significant other items, such as project close out benefits or something like that in the quarter that moved the needle one way the other?
Mike Metcalf: Yes. Hi, John. Commodity inflation actually was a headwind of about 100 basis points. But across the system, we recognized terrific productivity. And really, the project close outs and the productivity really offset the commodity inflation impact.
Brett Cope: Yes. And I echo that for the Powell team. I think operationally, the quarter was very solid across all of our groups. And so that they really -- really everybody was firing on all cylinders and we did a really nice job in the company.
John Franzreb: Got it. And just one last question. The services side of the business, how much of sales did it represent for all of fiscal 2021? And Brett, what kind of targets do you have for that part of the business in the coming, say, two to three years?
Brett Cope: Yes. First of all, the majority of our service business, John, as you know, historically speaking, is really short from when we get out to the market. So, it's a lot of install commissioning. And what's -- we've been working on really long or longer term, last five to eight years, is moving into life extension and leveraging our equipment know-how. Our goal is to improve the margin and the countercyclical capability by moving into that OpEx side, to become more relevant with the demographic changes happening at our client site and to use both the technology and the people side of the equation. So, from a volume standpoint, it can vary pretty largely, because it's still tied. The bulk of our service business to that very short profile window of install and commissioning and it can run anywhere from 15 to 25 points of our total revenue, but it's highly cyclical, again, because it has that short life tied to install and commissioning.
Mike Metcalf: And that John is also -- it's not -- when we talk service, it's not purely wrench-turning. It's selling after market parts and things of that nature. So the entire basket is that 15% to 20% or the above.
John Franzreb: Okay. Thanks guys. I’ll get back into queue.
Brett Cope: Sure.
Operator: Our next question comes from Jon Braatz with Kansas City Capital. You may go ahead.
Jon Braatz: Good morning, Brett, Mike.
Brett Cope: Hey, Jon.
Mike Metcalf: Good morning, Jon.
Jon Braatz: Brett, could you talk a little bit about the traction market? Obviously, it was a nice increase this year. And -- but how do you see that going forward? Do you see that being sustained? And will the infrastructure bill help that? Can you talk a little bit about the traction markets?
Brett Cope: Yes. So the traction market for Powell, so a couple of years ago, I made a couple of comments on the call about some approach the market being disciplined. This is a market that, as you know, the money flows out of a lot of government entity by local or have federal matching funds. And then there's a lot of contracting layers unlike some of our industrial business. So there is -- in my words, a little bit more risk by the time the project gets to Powell because we're several layers down in the contracting piece. So that isn't fundamentally changing. But we are good at what we do. The growth over the last couple of years has been more of the penetration into Canada. Whereas if I look at the US domestic business, it's been solid and hasn't sort of maintained, but we've applied this discipline to how we're going to approach the market, and then taking that know-how and discipline into Canada. So that's where we've seen some of the growth last couple of years at the revenue line. And with the infrastructure bill, absolutely watching it closely, how will that -- again, especially those matching funds, will they start to move some of these projects forward? There's still some remedial work going on across different agencies. Will just start to move projects forward and put Powell in a position to capitalize more? I guess, I'm still a little hopeful there versus being solidly confident that it's going to move the needle, but we are going to do what we can to capitalize on those projects that make sense for Powell where we align well with the contractors that are selected for those agency jobs.
Jon Braatz: Okay. Brett, is that -- is the Canadian work sort of running off, or are you seeing new orders at the same rate that you've seen earlier?
Brett Cope: It's not so -- as we kind of pivoted after that -- go back to that downturn of oil and gas in 2014 and 2015 and we pivoted to the east and started looking at strategies to explore the markets up there. We did have a big jump up in some big, some nice wins. So we aren't refilling as quick as initial penetration, but it is steady. It's steady across east to west. Yes.
Jon Braatz: Okay. Okay. And looking at the new orders and the pricing on the new orders, assuming inflation, cost of materials and so on, begin to ease or at least stay level. Are you comfortable with the gross margins where they're at? And would they be -- would they in fact, be a little bit higher than where we currently are on the new order wins?
Brett Cope: Well, I think in the second half, there is definitely pressure in the first half. We're having some success pushing the pricing through, but not in all cases. And pricing at a competitive level in the short-term is definitely, I think in the last quarter or two continues to be tough. I know the question came up last year throughout fiscal 2021. I think we started sharing in the spring where we started to see a step-up in the pricing, and that just continued kind of throughout the year. And we are pushing some increases through, right, everybody in the commodity side. I think the challenge for us is to manage through the wage piece as well as logistics, not just the commodities that we convert into finished goods, but of course, of the things that we buy that might go into a substation. So there's a lot of third-party buyout that we also have to work with that we don't organically make, and that might come from all parts of the world, whereas we're kind of more centric to our geographic markets where our brick-and-mortar facilities are. So, it's -- those jobs are something we have to scrutinize a lot closer when they come in at the RFQ stage to understand those challenges. And so I think that continues in the first half pretty hard.
Jon Braatz: Okay. Okay. And one last question on some of the new opportunities that you discussed, such as the biofuels, renewable energy, renewable fuels, and all that stuff. Are you actually currently bidding on some work, or secondly, have you won any work in those areas?
Brett Cope: We have. We've got a couple of biodiesel jobs that we're executing on right now. We are -- and the bidding some, the biofuels piece, I mean, the carbon capture, sequestration and the hydrogen stuff, there's a lot of jobs, kind of being talked about US, Canada, Middle East, even in the Northern part of the UK. Those aren't quite at the -- I mean there are pricing exercises going on as the people are trying to figure out how to execute those projects. There's a lot of moving by our competitors and we're trying to figure out how we can play well in that market. We have a solution that bodes very well, but those are still a little further out than some of the biofuel conversions.
Jon Braatz: Okay. That’s all. Thank you very much.
Brett Cope: Okay Jon.
Operator: Our next question comes from John Deysher with Pinnacle. You may go ahead.
John Deysher: Good morning and congratulations on a nice way to wrap up the year. That was a solid quarter.
Brett Cope: Thank you John. Strong performance by our teams.
John Deysher: Good to hear. Brett, in terms of the strategic initiatives, correct me if I'm wrong, but this is the first call where you've actually laid out in granular terms what you're trying to do. And I have a couple of questions on two of the initiatives. One is the electrical automation platform. I guess that was initiative number one, suite of sensors, predictive analytics, all of that. Is that suite -- is that product available now? Has it been rolled out?
Brett Cope: So first, John, yes, this is the first full rollout of the three priorities that we've been working on for really the last couple of years and refining our focus within the Powell team as well as with the Board as we kind of work towards -- work our process and develop -- and I would stress that we are working a process here to stay disciplined. On the electrical automation, the sensors are largely rolled out. We've been making progress the last couple of years, rolling sensors out one here, one there. We rolled another one out this past year, and we're learning as we go. So, the sensors are making their way out into the market across multiple sectors, multiple geographies. And we're learning how to improve that product, the sensor itself and then the value add, which is the next step of tying the information that comes from those sensors into actionable intel for our clients. So, really good feedback coming from our clients and feeding back into our process of what do we need to do now, both organically or is there something else out there that would help us step change to help our clients put this information to work quicker.
John Deysher: Is the competitive landscape different from the core business?
Brett Cope: There -- when you get into the automation, a lot of our core -- the big multinationals have a really wide portfolio of automation that kind of covers a wide gamut. When you get into the electrical substation, the medium and low voltage work that we've done for the last 75 years, it isn't that we don't have competition. It's just that I think given our history and understanding of distribution in the voltage ranges that we play in. We've focused really hard on -- you can have -- I mean, there's tons of people running the Big Data and using the Googles and the Microsoft, tremendous platforms to pull data together on the web, but you can't feed it. And that's an area we know really well about all these particular items that you got to monitor to look for these events to move from a truly time-based maintenance strategy to preventative maintenance, speaking specifically about the automation asset management piece. So that's an area that we think we are differentiated. We think we've got technology that it is not -- there are other ways to do things that we're doing out there, but we think the way we've approached it is -- will be more reliable and more actionable for our customers. And, like I said, the challenge for us now, the feedback we've been getting the last couple of years is very good repeatable data, doing exactly what we intended. But now we're being challenged with how do we take the next step to -- into a space that would maybe bring in some other competitors we're not historically used to competing against. And so, we're thinking through that as well.
John Deysher: Okay. Was that -- did that business contribute meaningful revenues in the past fiscal year?
Brett Cope: No, I wouldn't say -- I mean, they do come with a lot higher calories, but the revenues of these sensors are -- the individual is a lot lower, right, compared to a substation order. So the calories are higher. Of course, our goal is to continue to progress them into the market, either directly or through other channels. So we're also developing other ways to get them into the market versus just kind of direct sales, distribution and things that, again, haven't been in our approach to the market in the past, but clearly need to develop for the future. But the promise of taking that next step would certainly help us get to our goals.
John Deysher: Okay. That makes sense. And on the third strategic initiative, diversifying your product offerings, I think you talked about new electric technology products that were countercyclical to, I guess, your existing revenue base. What are you talking about there? Can you give us some specific examples of areas that you'd like to enter?
Brett Cope: Sure. Trying to -- a lot of competition listening in here, John. So, Powell, I mean, you look at the investor deck, you know us as our core products are very focused in the medium voltage primary switchgear space. Over the last couple of years, we don't make the low-voltage breaker, but most folks know that, but we have -- spend a lot of time on the low voltage switchgear envelope and how we integrate with the medium voltage and as well as into the motor control. And so, we're working with our partners and organically on the R&D side to round that out, but that's also led us -- if you look at our move into even traction and the sustained distribution side of utility and what is coming potentially in the grid, the larger renewables footprint, the bidirectional needs of the grid. We're not going to go into EV charging in terms of the device to the car, but what will that do to the grid on both the primary and secondary side of switchgear in the future. And what do we think we're able to do to develop products and solutions for that need of the grid tomorrow. So whether that grid is the industrial grid of a facility or a utility grid, we think there's some opportunity in the markets that we are based in where we think we can move the needle.
John Deysher: Okay. And I guess you've mentioned R&D drives a lot of this. Is the R&D budget going to go up going forward?
Brett Cope: Last couple of years -- so we have pivoted recently the R&D budget to some of this development, and it is organically something we've spent more -- the three priorities is the one that -- we have shifted internal resources to developing these technologies, so spending some money learning. And trying to push forward some design ideas that we think would be new and innovative, but also keeping an eye out to the inorganic if there was something, but that third priority right now is heavily organic R&D shift right now.
John Deysher: Okay. And I guess finally, has there been in terms of people, has there been a dedicated person assigned to these strategic initiatives that perhaps reports directly to you and the Board, or are these tasks assigned to the people who are already running the underlying units?
Brett Cope: So we don't have a person dedicated strategic development. It is definitely a position we've talked about with the Board's council. But today, it's a mix between the management team and some committees that we put together of the up and coming generation within Powell. And they are doing a great job and helping us kind of 360 some ideas. And so that's the process we've had to-date, but centralizing that in the future is definitely something we're considering.
John Deysher: Okay. That's sounds promising. We wish you continued good luck.
Brett Cope: Thank you, John.
Operator: [Operator Instructions] Our next question comes from John Franzreb with Sidoti & Company.
Ryan Coleman: Yeah. You may go ahead.
John Franzreb: Yeah. Brett, I wonder if you could expand upon the inorganic growth opportunities. What types of businesses are you targeting maybe sense scale, either in revenue or how much you're willing to pay for them? I think that would be helpful.
Brett Cope: So all three priorities that we kind of outlined, John, the electrical automation platform, the diversified electrical products and solutions as well as the services franchise opportunity we're looking at, probably the products and automation side might be an area we're looking at in the last year as we kind of stepped into building the funnel and building the teams, especially on the automation side, because of the feedback I shared earlier in the call here. We are getting some demand -- some requirements from the customers that just aren't in-house at Powell. So if we want to take a step to solve those problems, it's getting a little bit more time and attention right now in the market. So, getting out and building the funnel and seeing what's out there, and is there something that fits or not is -- that's an area that we've been spending a lot of time over the last 12 months on and probably for the foreseeable future. So -- in terms of size, I'll let Mike make a couple of comments. He's talked about the capital application framework. You want to?
Mike Metcalf: Yeah, John, there's a number of scenarios that could potentially play out given the strategic initiatives that Brett laid out. And we have worked through the capital framework with the Board. So we've sized kind of what we would -- what our appetite would be. But again, this could range from on the small side to -- a couple on the small side and maybe something of a larger magnitude. But really, it really depends on the right accretive opportunity that fits in the Powell portfolio.
Brett Cope: Yes, we are going to -- we are -- we've kind of made a couple of comments about this -- about being disciplined, and some of the things in the automation space are quite frankly, expensive right now. And do they even fit Powell. So we're going to be -- as the process has developed over the last 12 months and as we continue to refine it with the Board and the management team, I think discipline will continue to be a word we use while still moving the needle forward on the process. So we can be expeditious, but be smart about it.
John Franzreb: Got it. And coming off a good fourth quarter results. We know about the seasonality and it's embedded in your business. But allowing for some sort of drop in sequential revenues. What is the decremental margin profile look like in your eyes? Are we staring at results being written in red ink for a quarter or two, or how does that kind of play out as we get back to the second half of the year, which we expect to be more profitable than the first?
Mike Metcalf: Yes, John, I think as we look forward into 2022, there's a few variables that we're keeping on the radar screen. First, as you mentioned, the traditional first quarter seasonality that the business typically encounters. Second, if you think about the order cadence that we experienced in fiscal 2021, the first half of 2021, as you know, was very, very soft. It started to pick up a little bit in 3Q and clearly $121 million this quarter. So as the softer orders bleed through the system, that puts a little bit of utilization pressure on the business. Number three is navigating through the -- really the inflationary pressures. And we think that -- or we anticipate that those will abate in -- towards the second half of the year. That, coupled with the fact that we have -- and we've talked about this in prior calls, we've incorporated a lot of the commodity -- the commodity increases in our pricing models. But given the long cycle nature of the business, these will start to exit backlog in the second half. So we project -- when you look at 2022 holistically, the first half will be a little softer than the second half.
John Franzreb: Okay. Thanks a lot, guys. Thanks for taking my follow-ups.
Mike Metcalf: Okay. Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brett Cope, CEO, for any closing remarks.
Brett Cope: Thank you, operator. As you've heard from both Mike and I this morning, we are entering fiscal 2022 with two consecutive quarters of encouraging financial results. And we are growing incrementally more comfortable that our core industrial end markets are recovering and setting us up for an improved financial future. We remain focused on maintaining high levels of utilization across the business, strong project execution and closely watching our cost structure to enhance and protect our efficiency gains over the past year. With that, thank you for your participation on today's call. We appreciate your continued interest in Powell, and look forward to speaking with you all next quarter.
Operator: The conference has now concluded. You may now disconnect.